Operator: Welcome to the Marsh & McLennan Companies' Conference Call. Today's call is being recorded. Second Quarter 2017 Financial Results and supplemental information were issued earlier this morning. They are available on the company's website at www.mmc.com. Please note that remarks made today may include forward-looking statements. Forward-looking statements are subject to risk and uncertainties, and a variety of factors may cause actual results to differ materially from those contemplated by such statements. For a more detailed discussion of those factors, please refer to our earnings release for this quarter and to our most recent SEC filings, including our most recent Form 10-K, all of which are available on the MMC website. During the call today, we may also discuss certain non-GAAP financial measures. For a reconciliation of these measures to the most closely comparable GAAP measures, please refer to the schedule in today's earnings release. I'll now turn the conference over to Dan Glaser, President and CEO of Marsh & McLennan Companies.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Thank you, very much. Good morning, and thank you for joining us to discuss our second quarter results reported earlier today. I'm Dan Glaser, President and CEO of Marsh & McLennan Companies. Joining me on the call today is our Mark McGivney, our CFO; and the CEOs of our businesses John Doyle of Marsh; Peter Hearn of Guy Carpenter; Julio Portalatin of Mercer; and Scott McDonald of Oliver Wyman. Also with us this morning is Dan Farrell of Investor Relations. Before we begin, I would like to thank Peter Zaffino for his many contributions to both Marsh and Guy Carpenter over his 15 plus years with the company. We wish Peter continued success and look forward to working with him as he moves on to the next phase of his career. Marsh & McLennan has a deep bench of leadership talent. We are constantly looking to invest and add capabilities to our organization. Talent is a key area of focus in this regard, and we were both opportunistic and strategic when we acquired talent. Last year, we added John Doyle and Peter Hearn to our organization, two experienced and highly regarded industry executes. I've worked with John for almost 20 years, and I can tell you that his transition into the Marsh's CEO role will be seamless. Over the past year, he's been a key part of setting strategy as President of Marsh, as well as being a member of the MMC Executive Committee. John has more than 30 years of insurance industry experience and provides a thoughtful perspective on the future of our industry and potential growth opportunities. He has a proven track record of strong leadership, success in building client relationships, and inspiring colleagues. Since he joined Marsh, John has been heavily focused on client service and retention, and these will continue to be key areas of emphasis going forward. I'm also happy to have Peter Hearn, the CEO of Guy Carpenter, joined the MMC Executive Committee. Over the past year, his leadership has had a meaningful impact on Guy Carpenter's already strong record of performance. Throughout their carriers, John and Peter have built strong relationships across the insurance value chain. While both have led successful large organizations, I believe their enthusiasm for improving the client experience sets them apart, and will benefit overall growth going forward. In addition, Julio and Scott continue to demonstrate tremendous leadership and have delivered impressive results at Mercer and Oliver Wyman. With these operating company heads, combined with the rest of our Executive Committee, I believe, we have the strongest leadership team in the industry. That said, the performance of our company goes well beyond senior management. Our success is driven by strong teams throughout the firm executing and making decisions where they matter most, close to our clients. While we invest for the future, we continue to emphasize the basics, delivering for clients every day, adding value and pursuing new opportunities with the sense of urgency and passion. We continue to invest in technology, digital, data and analytics to drive innovation and faster growth. In this regard, we've had several important announcements since last quarter, Mercer recently launched Mercer Digital an integrated business across health, wealth and career to better leverage the digital capabilities that have been built in the organization. Our data and technology combined with specialized Consulting expertise positions Mercer Digital to help organization's transition to a digital future while ensuring their work force thrives. As part of this initiative, Mercer announced Rohit Mehrotra will be taking a new role as CEO of Mercer Digital. Rohit came to MMC when we bought his fifth startup CPSG, that acquisition has performed well for us and we are pleased that he is taking a broader role in Mercer. Earlier this month, Mercer also announced an equity investment in PayScale a cloud based provider of compensation management software and real time salary data. Together, we will collaborate on new innovative compensation and workforce data products and solutions. Another important announcement was Marsh's hire of Sastry Durvasula as Chief Digital Officer and Chief Data and Analytics Officer. Sastry brings an in-depth knowledge of digital technologies and will oversee the strategic design, development and delivery of digital capabilities, data and analytics and client-facing technology. We also continue to broaden our participation in the technology and innovation landscape. For example, we recently added to our relationship with the private equity firm, Aquiline Capital Partners, by participating as one of the anchor investors in a new fund focused on early stage technology companies in insurance, as well as asset management, retirement and benefits. We will continue to invest capital to shift our mix of business to faster growing segments and geographies. These are just examples of some of the numerous partnerships, investments and strategic initiatives underway across our organization to position ourselves to thrive and shape the future. We talk about balance in many aspects of our strategy and philosophy. And the events of this quarter highlight another dimension of balance in how we operate MMC. While we continue to innovate and position for future long term growth, we remain focused on delivering today. This requires rigorous attention to the fundamentals and maintaining focus on the client. Technology advancements, increasing complexity and the pace of change in the world, represent significant challenges for our clients to address in the areas of risk, strategy and people. We are uniquely positioned to support them and help them succeed. Now let's turn to some highlights of our results. Our second quarter performance was solid and in line with our expectations. We produced consolidated underlying revenue growth of 3% with growth across all four operating companies. Operating income was up 5%, while adjusted operating income increased 7%. EPS was $0.96, up 7% and adjusted EPS rose 10% to $1. And on a consolidated basis, the adjusted operating margin improved 70 basis points. For the six months, underlying revenue growth was 3% and the consolidated adjusted margin expanded 70 basis points. EPS for the six month period grew 13% on a GAAP basis and 14% on an adjusted basis. Looking at Risk & Insurance Services, second quarter revenue was $1.9 billion with underlying growth of 2%. Adjusted operating income increased 9% to $535 million, with our margin expanding 110 basis points to 27.9%, the highest second quarter margin in 30 years. For the six month period, underlying revenue grew 3%, similar to the full year growth rate in 2015 and 2016. Adjusted operating income of $1.1 billion rose 10% and the adjusted margin also improved 110 basis points to 29.1%. In the Consulting segment, second quarter revenue was $1.6 billion, up 4% on an underlying basis. Adjusted operating income increased 3% in the quarter to $298 million. The margin of 18.7% was flat with the prior year. Similar to the first quarter, recent M&A activity impacted earnings. We anticipate improvement as the year progresses and expect Consulting to deliver solid earnings growth and margin expansion for 2017. In summary, we are pleased with the results for the first half of the year. For the full year 2017, we continue to expect underlying revenue growth within the 3% to 5% range that we have operated in for the past seven years, margin expansion in both operating segments and strong growth in adjusted EPS. With that, let me turn it over to Mark.
Mark Christopher McGivney - Marsh & McLennan Cos., Inc.: Thank you, Dan, and good morning. In the second quarter, we delivered solid results driven by underlying revenue growth across all four of our operating companies. Overall, revenue was up 4% or 3% on an underlying basis. Operating income in the quarter increased 5%, while adjusted operating income was up 7% to $788 million. Our adjusted operating margin increased 70 basis points to 22.5%. GAAP EPS rose 7% to $0.96 and adjusted EPS increased 10% to $1. Looking at Risk & Insurance Services, second quarter revenue was $1.9 billion, with underlying growth of 2%. Adjusted operating income increased 9% to $535 million, with our margin expanding 110 basis points to 27.9%. For the first six months of the year, revenue was $3.9 billion with underlying growth of 3%. Adjusted operating income for the first half of the year increased 10% to $1.1 billion with a margin of 29.1% also up 110 basis points. At Marsh, revenue in the quarter was $1.6 billion, an increase of 4%, with acquisition activity over the last 12 months continuing to contribute to overall growth. As we expected, underlying revenue growth of 2% in second quarter was tempered following the strong underlying growth of 5% in the first quarter. As we've said in the past, we think it is more appropriate to look at underlying revenue trends over a longer period of time. For the first six months, as well as the trailing 12 months, Marsh's underlying growth was 3%. The international division underlying growth was 1% in the second quarter. EMEA revenue was flat, Asia-Pacific rose 3%, and Latin America grew 4%. For the first six months, international underlying revenue growth was 3%. In U.S. and Canada, underlying growth was 2% in the quarter and was 3% for the first six months. Guy Carpenter's revenue was $293 million, an increase of 3%, or 4% on an underlying basis, representing another strong quarter for Guy Carpenter. It was better we had expected. Strength in underlying revenue growth in the quarter was broad-based, reflecting growth in North America, Latin America, and Asia-Pacific, as well as increased demand for retrocessional reinsurance. Underlying revenue growth for the first six months was also 4%, while underlying growth over the trailing 12 months was 3%. In the Consulting segment, revenue of $1.6 billion was up 3%, or 4% on an underlying basis. Adjusted operating income increased 3% to $298 million, while the margin held constant at 18.7%. Similar to the first quarter, active M&A in Mercer at the end of last year and foreign exchange were headwinds to Consulting earnings growth. However, underlying results remain strong and we continue to expect solid operating earnings improvement and margin expansion in Consulting for the full year 2017. Mercer's revenue increased 3% in the quarter to $1.1 billion and was up 3% on an underlying basis. Within Wealth, Investment Management & Related Services increased 11%, while Defined Benefit Consulting & Administration declined 3%. Overall Wealth grew 1% in the quarter. Assets under delegated management at quarter end were $191 billion, increasing 8% over the first quarter and 30% year-over-year. Health increased 3%, with solid growth in North America and Latin America. Career underlying growth was 5% with strong growth in surveys and our consulting around workday implementation. Oliver Wyman's revenue increased 5% in the quarter to $483 million. Underlying growth was 7%, representing another solid performance led by strong growth in the United States, Asia, and the Middle East. Investment income was $5 million compared with $1 million in the second quarter of last year. We expect the contribution from investment income will be de minimis for the remainder of 2017. Foreign exchange in the quarter was a slight headwind to NOI, with a negative impact in Consulting, partially offset by a small positive in RIS. Assuming exchange rates remain at current levels, we expect minimal impact to NOI from FX for the remainder of the year. Our adjusted tax rate in the second quarter was 28.6%, compared with 29.1% in the second quarter of last year. Through the first half of the year, our adjusted tax rate was 25.9%, compared with 28.8% last year. The year-to-date tax rate in 2017 includes the impact of the required change in accounting for equity awards, which had a significant impact on our rate in the first quarter. We continue to expect a 29% tax rate for the remainder of 2017 excluding any impact from discrete items. Total debt at the end of the second quarter was $5.6 billion compared with $5.9 billion at the end of the first quarter, reflecting the repayment of $250 million of senior notes on April 1. The term structure of our debt portfolio provides us flexibility, modest near-term repayment obligation. Our next scheduled debt repayment is not until the fourth quarter of 2018, when we have $250 million of notes maturing. In the second quarter, we repurchased 2.7 million shares of our stock for $200 million. Through six months, the company has repurchased 5.4 million shares for $400 million. Second quarter marks the 21st consecutive quarter we have bought back our stock. Since announcing our commitment to reduce our annual share count at Investor Day in March 2014, shares outstanding have declined by 36 million or 7%. Our cash position at end of the second quarter was $966 million, with approximately $118 million in the United States. Uses of cash in the second quarter totaled $442 million and included $200 million for share repurchases, $176 million for dividends and $66 million for acquisitions. For the first six months, uses of cash totaled $1.3 billion and included $400 million for share repurchases, $351 million for dividends, and $523 million for acquisitions. In May, our board of directors approved an increase in our quarterly cash dividend from $0.34 to $0.375 per share. For the full year 2017, we expect to deploy capital in line with the level in 2016 across dividends, acquisitions and share repurchases. First half of 2017 represents a strong start to the year with 3% underlying revenue growth, 70 basis points of adjusted operating margin expansion and 14% adjusted EPS growth. As Dan said, for the full year, we continue to expect underlying revenue growth in the 3% to 5% range, margin expansion in both segments and strong growth in adjusted EPS. With that, I'm happy to turn it back to Dan.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Thanks, Mark. Operator, we're ready to go to Q&A.
Operator: Thank you. We're going to go to Kai Pan with Morgan Stanley.
Kai Pan - Morgan Stanley & Co. LLC: Thank you, and good morning. First, congratulations to John for the new position. I'm wondering, for John, if you could about more, about your strategic focus at Marsh? And how do you tie that with the current market condition in term P&C pricing?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Thanks, Kai. It's Dan, I'll just start a little bit by saying how thrilled I am that John is part of the team. And as you know, over the last several years, Marsh is doing well, so it's not crying out for massive amounts of change. But having said that, every business can be improved of – and I'm sure John will put his own mark on the organization and I'm looking forward to seeing the further developments as we go forward. But John, do you want to add a little bit of flavor to that?
John Q. Doyle - Marsh LLC: Sure. Good morning, Kai and thank you. I guess, so I'd start by saying that I spent a lot of time with Dan and Peter to make sure that we were aligned on strategy before I join the team. I would also note that I was quite involved in the plan that we presented to the MMC board of directors last fall, so I wouldn't anticipate any major changes to this strategy. I do want us to operate in a more simple and agile way, so take a look at our org structure and I want us to do with the highest professional standards.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Yeah, thanks, John. So, basically some structural changes, some simplification and some emphasis on the client experience and client initiatives around retention. You have anything else, Kai?
Kai Pan - Morgan Stanley & Co. LLC: Yes. And just follow-up on that. You talk about the current market condition, because some said that the pricing is stabilizing and some said, it become increasing more competitive. How do you see that from your perspective and then you've had headwind or tailwind to your business and seems like, there is a little bit slowing down in organic growth in brokerage segments for this quarter but if you look at like the first half, probably still in your range. I just wondering, is the pricing – well, pricing continue to be putting some pressure on the organic growth in brokerage? Thanks.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Well, I think that pricing has put pressure on organic growth across the businesses for number of years now. I wouldn't look at the second quarter as being the start of the new trend driven by price or premium reductions. As you were just saying yourself, yeah, looking at the first half of the year, Marsh was at a 3%, which is consistent with where they were last year and the year before and so that's probably a more appropriate way to look at that. But what do you see in rates and premium, Scott?
Scott McDonald - Oliver Wyman Group: So there is no meaningful change in pricing in the second quarter as compared to the first quarter of the year, overall rates declined a bit more than 2%. UK rates under a bit more pressure where the decline was in the 4% range. We did observe some modest increases in some classes of business and at some territories, commercial auto for example. Australia saw some modest increases in the quarter. So we did observe that. But we expect the market to remain competitive overall.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Thanks, Scott. Next question please.
Operator: We'll go to Elyse Greenspan with Wells Fargo.
Elyse B. Greenspan - Wells Fargo Securities LLC: Hi. Good morning. My first question, so it seems like there was a bit of an organic revenue shift from the second to the first quarter which is why you guys kind of gearing us towards the half year one numbers. I'm just interested, is this something that we should think about or thinking about the second half of the year and I guess this kind of impacted both your U.S. and international business. Just any more color that you can just kind of give just in terms of the timing shift throughout the different businesses. And if you could also just let us know how the growth within the MMA was in the quarter and for the first half of the year?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Okay. So a couple of things. I wouldn't overemphasize shifts of business, I mean clearly some things move around quarter-by-quarter, I wouldn't take too much into it. As we've said a couple of times and as we've done over the last few years, the back half of the year, particularly the fourth quarter usually is a bit stronger for us on an overall business basis, so I will look at it that way. We're happy with our first half results in general, not only on a growth basis, but also we're getting growth from acquisitions, some of which we're giving up in FX, but there is growth in acquisitions which is going to benefit us in future years. We like the fact that our adjusted operating income was reasonably well up given the growth rate and as well as EPS, margin expansion hit our expectations. So overall, we're happy with the first six months and we're looking forward to the next six months. In terms of MMA, we don't breakout MMA other than to say they had a nice quarter and the basic thing that we said all the way starting back in 2009 was that we expected MMA to be able to outgrow Marsh and all I'll say is that, yes, they have been doing that and they did it in the second quarter as well.
Elyse B. Greenspan - Wells Fargo Securities LLC: Okay. And then my second question, you guys saw 110 basis points of margin expansion in RIS Q2 and the first half of the year. I know last quarter you guys had said maybe margins would be a bit tempered, just the Q2 was pretty strong in that regard. Can you just comment on without giving exact numbers just your forward outlook on the margin view there and just initiatives that you're working on within both Marsh and Guy Carpenter to continue to be able to manage your expense base and improve your margins there?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Sure. And generally, I mean when I look at the RIS segment, we're in a pretty modest GDP world with basic rate levels in the P&C sector in almost all geographies and in almost all lines of business going down. Now going down may be at pace, it's not quite as steep as it was last year, but it's still going down. And so when I speak about margins, one way to look at it is, we would have liked to grow Marsh more in the second quarter than we did and operate expense controls throughout the year and recognizing that we are in this kind of lower growth environment and so that's the one of the reasons why the margin may have passed a little bit more than what we originally expected because we would have thought that we could have grown a little bit more than 2%, and we're pretty comfortable that 2% is not the new reality, but that we will have quarters, every once in a while, that look like that. Just like we'll have some quarters every once in a while like last quarter where Marsh grew 5%. It didn't make 5% the new world, 2% is not necessarily the new world either. And so, our expense controls tend to be multi-quarter, right, even a multi-year, and so there is – that's why the margin may move around a little bit.
Operator: We'll go to our next question with Larry Greenberg with Janney.
Larry Greenberg - Janney Montgomery Scott LLC: Good morning, and thank you. Dan, just wondering, if you can talk about – I don't know, it was mentioned in one of the publications this quarter, that you're starting kind of in an alternative capital backed facility for retail property, casualty, I think the name of it was Alternus, can you just give us some color on that?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Okay. Yeah, I'll do a little and then I'll hand off to John to give you a little bit more. But basically it's not property and casualty, it is property. And basically the way to look at it is, there is a major insurance company Allianz that had always wanted to participate in a more significant way in United States property, but they were – they felt they had enough cash. And so that was an inhibitor of greater levels of participations. And Marsh very creatively sought through, well, how can we marry up their appetite with alternative capital, and sought alternative capital using a high degree of Marsh data and Marsh analytics to create more of a portfolio look to the property portfolio that Marsh has. And that was a combination between Allianz and Nephila, which at the end result means that they're willing to write virtually every property account of Marsh and they're willing to write that at a guaranteed discount to the client of 7.5% off of any other markets pricing for the balance of the placement. And so it's clearly a win for the client, it's a win for the market because that certainly bringing a market like Allianz to the forefront with alternative capital backing is a big positive and it's another example of Marsh innovation. Now I haven't checked in lately as to how often this is doing et cetera. But, John, do you want to add something to that?
John Q. Doyle - Marsh LLC: As you mentioned that we announced it in April, so it's still relatively early but the take-up rate so far has been positive. The feedback we've gotten from our clients has been positive as well, so more efficient solution for our large property clients. So we think it's a great way where Marsh can bring better value to our clients than we had before.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Thanks
Larry Greenberg - Janney Montgomery Scott LLC: Great. Thank you.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Anything else, Larry?
Larry Greenberg - Janney Montgomery Scott LLC: Yeah. Any update on the FSA (sic) [FCA] investigation and I guess, does it mean anything that the PRA is now looking at facilities?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Well, a couple of things. No, there's no update in terms of the FCA that that investigation is ongoing and we're cooperating fully. We imagine it will take quite a while for them to work through their analysis and come to some sort of determinations, but it's really all that I'll say on that at that time. Now in terms of the FCA review of the wholesale market, they do that on a periodic basis. And I don't see any connectivity between the FCA review which may entail a review of facilities as well as – with the investigation that's going on in the aviation sector.
Operator: And we'll next to Ryan Tunis with Credit Suisse.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC: Hey, thanks. Good morning. Just a question for Dan, on – thinking about the relationship between margins and an organic growth. So the emphasis, I hear your views on the stability of organic within Marsh, how it's been 3% pretty much year-to-date. It's been like that in 2015, 2016. And if we would've gone back to 2015 when it was at 3% – we talked about the headwinds – we might not have thought it was going to stay at 3%. But I think if we knew it was going to be at 3%, we probably wouldn't have thought you would have expanded margins by 2 to 3 points. So I guess, what I'm wondering is, has kind of the fundamental equation changed about what gets you margin expansion, do you still need well in excess of 3% over time? Or I guess, another way to ask it is, under what conditions would margins not expand going forward what you've been able to deliver with just 3% organic growth?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: It's a good question, and it's something that we wrestle with as a leadership team. I mean, at the end, clearly, we are finding ways to operate the business in a more efficient manner and improve our productivity over time. And we've done that for a number of years. I mean, just to remind everyone, we're in the – 2017 is our 10th year of margin expansion. And this hasn't been a little bit of expansion. This has been significant consistent levels of expansion over time. We are in a more for less business. Our job is to deliver more value to our clients every year at fundamentally better levels of efficiency within our own organization. So that search for a smarter way, that search for additional operational efficiency, that never ends. And when I look into the future, whether it's robotics, whether it's deep learning, AI, et cetera, I think there'll be all kinds of avenues for us to become a more efficient organization as we go forward. So, I don't think the margin story is different. Now, do I think the margin will expand typically more when we have a better top line than 3%? Yes. Do I think that 13% adjusted EPS growth over the long term will be far easier to achieve with a better top line? Yes. So, we are doing everything possible to position the company through mix of business, through acquisition strategy, through organic investment on an ongoing basis to spur growth into the future regardless of market conditions, because our anticipation is the market's going to be similar to where it is today. And so, and anything to the upside, I think, would be a benefit to us. In terms of margins, in general, I can tell you, when we're around the leadership table, margin doesn't come up. Earnings growth comes up, revenue growth comes up, acquisitions come up, but actually, we think that margin expansion is not a strategy per se, it's an outcome of how we run the business properly. And really, one of the core philosophies of the company is that revenue growth should exceed expense growth almost every quarter and certainly every year. And so, when we look at it on that basis, it's just a natural outcome.
Ryan J. Tunis - Credit Suisse Securities (USA) LLC: Thank you very much for the answer.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Anything else, Ryan?
Operator: We'll go next to Dave Styblo with Jefferies.
David Anthony Styblo - Jefferies LLC: Good morning. Thanks for taking the questions. Dan, I'd like to come back to sort of the lead in that you came up with in terms of the technology and digital investments and hires that you made. And I'm just curious to hear a little bit more about the genesis of that. I'm sure it's been incubating in your minds for quite some time. But are these strategic initiatives something that you've been hearing clients ask for? And so it's a little bit more a response from that or is it something that you just think can help out with better retention and new wins or maybe some sort of a combination of both or other factors?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Yeah. And maybe, it's a great question and no, it's not a client response, although it is definitely the clients at the table in our discussions and thinking through it as to how we can improve the client experience. A factor of me being in the business for more than 35 years is I've seen other changes. As an example, I remember when companies thought that email was a proprietary value, or I remember when people were asked about well what is their Internet strategy, or actually in the beginning, what was your world wide web strategy, okay. So, ultimately the way I look at it is, all companies that expect to be successful in the future will be digital on some basis or another. And so, I don't believe that this is necessarily a next year thing. I think we're positioning the company to be successful long into the future. When we consider digital, we really look across three dimensions. It's not just about growth, it's about growth, operational efficiency and clearly people who work for our organization. And so, in terms of growth, it's really about the client experience and the robustness of our offerings and some of our acquisition strategy. So, you look at Thomsons or PayScale Equity Investment or Torrent or Dovetail. They're one way or the other all digital players. If you look at Mercer 365, it's a technology play, it's a user experience play. In terms of efficiency, we are beginning to experiment. Now I would emphasize experiment. You're not going to see early term results for bots or robotics, automation, machine learning, that kind of stuff. Although there are parts of our business where we will increasingly look to utilize that kind of capability and see how we can become more efficient. And in terms of people, I mean, Sastry and Rohit are just two examples. There's many others of how we're adding new skills to the organization and we're hiring more data scientists, more developers and this is going to be an ongoing process. But I just wanted to highlight that for us, the battle has been joined.
David Anthony Styblo - Jefferies LLC: Okay. That's really helpful. Maybe just a little bit more on some of the results for the quarter. So, on reinsurance, you guys had another really strong quarter again, impressive at 4%, and just was trying to get a better sense on the macro conditions right now. Are you guys continuing to see the pricing environment declines become less of a headwind? Let me start there. And then kind of more forward-looking, and kind of canvassing, it looks like there were a few reinsurance contract losses that I believe mostly start in the second half, couple in Florida with People's Trust and Capitol Preferred and then also with Argo. I think, all three of those went to the same competitor, so that being the case, are you guys starting to see any sort of irrational competitor pricing behavior or are there other reasons you can point to for that? Or again I'm sure there's always pluses and minuses in every quarter and is this just sort of a sample or is this something that seems to be a little bit more pointed this quarter rather than in prior quarters?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Sure, sure. So I'll start and then I'll hand off to Peter. One, I could say that that we're really as an organization very pleased with Guy Carpenter and that's not a short-term phenomena. Guy Carpenter has grown underlying revenue 25 over the last 26 quarters, best-in-class growth by far. And ultimately has built some share and wins a lot more than it loses. And so from that standpoint, we're proud of the organization. And we're very excited about adding somebody like Peter to the mix, top tier, reinsurance executive, seasoned, smell of the market on them and so I expect if that Guy Carpenter will continue to perform super well relative to its peer group over a long stretch of time of Peter. With that lead up what could you possibly say?
Peter C. Hearn - Guy Carpenter & Co. LLC: I think I smell pretty good. David, a couple of things, with regard to pricing, there still remains modest headwinds, we're seeing some flattening of pricing on casualty side, on the property side, and the life side, and accident side, there's still fairly aggressive pricing both in the traditional and in the alternative capital markets. With regards to the loss of business, we have an incredibly high retention ratio within Guy Carpenter. Having said that, it is incumbent upon us to build a very strong robust and disciplined production platform in the event that we do in fact lose business that we can replace it quickly, and we do that.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Thank you. Thank you. Next question, operator.
Operator: We'll go to Jay Gelb with Barclays.
Jay Gelb - Barclays Capital, Inc.: Thanks and good morning.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Good morning.
Jay Gelb - Barclays Capital, Inc.: With regard to Consulting, the expectation in earnings growth would improve in the back half because of less of a drag from client, merger activity, is double-digit operating growth in the back half, the reasonable expectation?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Yeah, a couple of things, one, it's not the acquisitions of clients that is impacting their top or bottom line, it's really acquisitions that Mercer made really in December that has created a short-term hiccup to earnings and an impact on margins. And so, that will sought itself out as growth begins to come in. And so, it's really – it's not – I mean, at the end, we think that there's been pretty consistent strong levels of growth both in our Oliver Wyman and Mercer. And when we look at the back half of the year, we really don't give margin expectations or operating income expectations. We do believe we'll have solid earnings growth in Consulting for the year and we will have margin expansion for the year. Now, what that is, I mean, at the end, when I look at Consulting's margins, I mean, in the last five years, they're up 680 basis points. And so given the first half of the year, I don't think you can have a dramatic increase in margins consistent with 680 basis points over a five year period. But having said that, we do expect to see margin expansion in the back half.
Jay Gelb - Barclays Capital, Inc.: That's helpful, Dan. And then with regard to RIS, it would seem that earnings growth – the earnings growth rate will probably need to be higher in the back half than it was in the first half for RIS to achieve your full year EPS growth goal. Am I on track for that as well?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: I mean, overall, we do – we expect the company, particularly, building momentum through the back half of the year with usually a stronger fourth and third, but we don't really have an annual goal with regard to adjusted EPS or margin expansion. We expect this to be a good solid year. I mean, when I – when we started the year, I was asked the question about 2017 versus 2016 in the macro environment and I pretty much said I thought 2017 look a lot like 2016 and still believe that is kind of the case. We're still in that kind of environment. Generally slow growth around the world at least modest level of growth, some P&C headwinds, low interest rates, business confidence that descent but fluctuates with the geopolitical cycle. So we're in – we remain in the grinded out years and we expect to have good performance in that. But we don't expect it to be one of these knock your lights out kind of thing, I mean I know that we've grown I think 14% adjusted EPS through the first six months. But really if you back out the accounting benefit of – on the compensation change is really 9%. And so I think in – we feel comfortable with that kind of level, at the level of growth that we're performing in the first half. We're expecting a little bit better in the second half and we're happy that we're now in it.
Operator: We'll go to our next question with Josh Shanker with Deutsche Bank.
Joshua D. Shanker - Deutsche Bank Securities, Inc.: Yeah, thank you very much. In the new presentation of segmenting, you've added more disclosure on Consulting segment. And the Defined Benefit segment obviously was a outlier with a negative 3% growth. Can we talk about whether that's a lumpy business in general, whether you're existing low margin businesses or how should we think about that. And can you go a little bit into detail on what's in that Defined Benefit and Administration, Consulting practice?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Yeah, I'll hand over to Julio in a second. But the Defined Benefit business, it's a terrific business, but it's not a growth business. If you think about is there a new Defined Benefit formation with companies and startups, et cetera, no. I mean basically companies today in almost every market not exclusively but certainly in the United States and in other major markets, lean heavily in the favor of Defined Contribution over Defined Benefit. And Mercer has done a really wonderful job over a number of years extracting value from our Defined Benefit practice. And – but Julio, you want to give us some more on that?
Julio A. Portalatin - Mercer Investment Management, Inc.: Yeah. Thanks. Thanks, Dan. DBA which is the sub-segment that you're referring to is comprised primarily of our advisory and administrative services around Defined Benefit plans. And as Dan mentioned and everyone is very well aware, Defined Benefit plans are on the decreased growth many years. And while a number of plans have contracted over that time period, we have continued to maintain growth by capturing discretionary spend from advising clients to their de-risking journey. We continued to expect that clients from time-to-time, as we'll make decisions to de-risk further and we'll get some benefit from there because we are certainly leading in that space when you compare us to others in the industry. But quarter-over-quarter variances are going to happen, as we always know and depending about what our (44:20) project demand looks like such as buy-outs, cash-outs or regulatory changes, they will vacillate and that will continue to be the case. I do want to point to just one additional factor though is that we did do a restructuring that brought the wealth business together that has the Defined now in a continuum that's very important to our clients that can lead to investment consultancy opportunities as well as investment management opportunities and you saw that a little bit displayed already in that quarter when saw an 11% increase in our investment management.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Do you have anything else, Josh?
Joshua D. Shanker - Deutsche Bank Securities, Inc.: Thanks, and I'm not trying to get guidance, but just to parse your words, would it be wrong for me to think of this over the long term as a sub-zero organic growth business?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Well, okay, define the long term. I mean clearly Defined Benefit and pension plans have a long way to run, right. These are 25 to 50 year programs as people live longer as how they operate. So, it is not a quickly declining business, and we've had many times where we have grown, but largely the growth tends to be project related work as opposed to growth in the basic business. So I would put in a category of low levels of negative growth or low levels of positive growth quarter-by-quarter but on a declining trend.
Joshua D. Shanker - Deutsche Bank Securities, Inc.: Okay. Thanks for the education. Appreciate it.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Okay. Next question, please.
Operator: We'll go next to Jay Cohen with Bank of America Merrill Lynch.
Jay A. Cohen - Bank of America Merrill Lynch: Yeah, most of my questions have been addressed. Just one last quick one. Latin America, the growth in the quarter was the slowest you've seen in a long time, I'm wondering what's happening in that market, was there anything unusual in the quarter?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: There were a couple of unusual things, but John, you want to talk about that?
John Q. Doyle - Marsh LLC: Yeah, look I think, Jay, the growth was acceptable given the volatility in the region, so we saw some ups and downs by country, we had strong results in Mexico, and I think solid results in Brazil, especially given the environment there. New business wasn't that strong, I think in part due to some of the volatility and we had some pretty strong prior year comps as well. So, weather impacted a bit of some project starts and that had an impact on new business, but broadly speaking it's – I think decent results through six months given the overall environment.
Jay A. Cohen - Bank of America Merrill Lynch: Focus more on the six month number as the message has been?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Yeah. That's right. I mean the Latin America is still critical market for us, when we look over a multiyear basis, it's been our fastest growing region. We don't break out geographies, but Consulting had a decent quarter in Latin America, so there is nothing fundamentally wrong. There is a – obviously there is a number of issues that individual countries are working through, but we like our positioning in Latin America, we would expect that it would return to better growth patterns in the future.
Jay A. Cohen - Bank of America Merrill Lynch: Great. Thanks for the answers.
Operator: We'll go next to Arash Soleimani with KBW.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Thanks and good morning.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Good morning.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Just a quick question on – we hear a lot on the cyber market, their estimates out there, where premiums would go from $3 billion to $30 billion by 2020, I'm just wondering if broadly you're seeing your clients' appetites increase such that a growth level of that magnitude seems feasible.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: I don't think we're going to comment on the growth level, whether it's going to go up 10 times in the next 10 years, I think all you guys have had the experience of the exchanges to think about before we start hitting 10 times growth on any part of any of our Consulting or Risk businesses. Clearly cyber is here to stay, and around the world, tax are becoming more advanced, and therefore defenses have to be more advanced, and insurance is a good – is basically for a lot of companies, it's a package of yes, you get some risk transferred, but you also get some comparative considerations as capital providers seeking to project their capital are able to advise on best practices and some of the things that they're seeing with otherwise competing markets. And so, from that standpoint, there is a risk management quality to the insurance offering that is very beneficial to clients. And as you see around the world higher levels of disclosure requirements on breaches, I think you'll end up seeing insurance being one of the mitigants to that, but John, do you want to talk about our cyber practice a bit and what we're seeing?
John Q. Doyle - Marsh LLC: Sure, cyber risk is clearly on top of minds of our clients and has been for a number of years here in the United States and I think given some of the regulatory changes that Dan mentioned, is increasingly on top of mind for our clients outside of the U.S. So we've been adding staff and expertise and developing partnerships with firms that again go beyond insurance procurement and help them manage the risk more broadly. So it's a pretty fast growing part of our business, at a healthy growth rate, of more scale certainly here in the U.S. and relatively small and subscale outside of the United States, but we expect that to change.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Yeah, one thing I was looking at recently and which I find interesting anyway, because you hear a lot about the insurance market, and many companies just sort of dipping their toe into cyber and concerns about accumulation risk and cyber hurricane et cetera. So let's take your $3 billion premium level, and say what's a typical rate online for cyber, it typically is less than 1%. So if you just run the math on that, there are something like $300 billion of limit that has been provided against that $3 billion of premium and in that context there is no dipping the toe in the water. There are many markets in cyber in a significant way and it's probably the growth opportunity in property and casualty.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Thanks for those very thorough responses. Just also one other question maybe for Peter. I know Florida has been a weak spot in terms of rates on the reinsurance side. I'm just wondering, has the assignment of benefits crisis been factored into the pricing conversations at all and do you see reinsurers getting any more pricing power from the assignment of benefits crisis or is it not really a factor?
Peter C. Hearn - Guy Carpenter & Co. LLC: It's not really a factor because it's an attritional loss, it's not a catastrophic loss and most of the reinsurance in Florida is catastrophic based and not risk and attritional based.
Arash Soleimani - Keefe, Bruyette & Woods, Inc.: Thanks.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Next question please.
Operator: We'll go to Sarah DeWitt with JPMorgan.
Sarah E. DeWitt - JPMorgan Securities LLC: Hi. Good morning. Most of my questions have been answered. But just maybe to follow up a bit on the topic of commercial insurance prices. You had mentioned the pace of commercial P&C insurance price declines have slowed a bit. Do you see any signs that that could turn positive in the next few years?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: I mean rates are geared against losses in competitive environment. There is lots of capital providers, lots of insurance companies, so there will always be some downward pressure. There's better management teams, better data and analytics and so there is not naïve underwriting like you may have seen in the 1980s or 1990s. And so there is probably a tighter range of outcomes, but it really depends on loss activity. If the loss activity comes in, it will put pressure on rates. We are seeing on the reinsurance side some slowing down, or harder to place lines of business and certainly not anything approaching a hard market in any way, shape or form on reinsurance. And usually you see reinsurance tighten before primary tightens. And so we've got a way to go here before we see that. I mean when we look at the last let's say year, maybe even two years, the UK market and the London market in particular has the deepest downdrafts in rating levels and so that is the most competitive market in the world from a price reduction standpoint. And so it's a tough place to do business these days.
Sarah E. DeWitt - JPMorgan Securities LLC: Okay. Great. Thank you.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Anything else, Sarah?
Sarah E. DeWitt - JPMorgan Securities LLC: That's it. Thank you.
Operator: And we'll go to Brian Meredith with UBS.
Brian Meredith - UBS Securities LLC: Yes, thanks. Two questions here for you. First one, just on the reinsurance side, we've seen a big increase in issues of cat bonds this year. How much of a tailwind has GC Securities been to Guy Carpenter this year? And could that be an issue potentially as we look at next year on comps?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Peter, you want to take that? So basically to rephrase it, it's like, is cat bonds volume fueling 4%.
Brian Meredith - UBS Securities LLC: Yeah.
Peter C. Hearn - Guy Carpenter & Co. LLC: Brian, it helps, but it hasn't been a major contributor. It's been pretty consistent in the amount of issuances that we've been involved with over the past three years.
Brian Meredith - UBS Securities LLC: Got you. So you haven't seen growth like the rest of the cat bond market, because cat bond market is up pretty substantially this year?
Peter C. Hearn - Guy Carpenter & Co. LLC: Well, there have been 25 cat bonds; we've placed 8, which is pretty consistent with what we've seen over the past three years.
Brian Meredith - UBS Securities LLC: Okay, great. And then, Dan, my next question for you, and I imagine your regulators are pretty busy over in the UK. There's been a lot of press also on the consulting side with respect to investment consultants and the FCA report. How much is that from a revenue perspective for you guys? And any color you can add into that situation.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Sure. Well, just a little bit. One, it's an overall review of a marketplace and the dynamics of a marketplace. Then it's started out broadly on asset management including investment consultants and now it's narrowed a little bit to investment consultants in the level of concentration that there are with the largest investment consultants and what that pertains to and the potential conflicts that that could arise from that. And so, we're very much cooperating with the review, and it's obviously an important business to us, both investment consulting and investment management on a delegated basis. But, Julio, you want to talk a little bit about our business?
Julio A. Portalatin - Mercer Investment Management, Inc.: Yeah. I mean, our business has been a flagship business in that part of the world, and we anticipate that it will continue to be. We have great expertise in the space and of course, we are cooperating fully with the FCA, because we share their goals. Their goals are to ensure that we have a competitive marketplace, it's transparency that we avoid any conflicts, and then we overall maintain high standards. And that's kind of our goals, and that's how we operate in that market. And we'll continue to operate in that market in years to come. And so, now the FCA is in a determination stage, and we'll see how it goes, but wherever it goes we'll continue to cooperate, of course with them. And hopefully, give them the opportunity to also take some of our best practices and apply to the rest of the industry.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Thanks, Julio. So I think we have time, operator, for one more question.
Operator: Okay. And we'll go to Adam Klauber with William Blair.
Adam Klauber - William Blair & Co. LLC: Thanks. The acquisitions that you did decent amount towards the end of the year, what does the pipeline look like right now?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: The acquisition pipeline is good. I mean we are – we look at a lot of different things, not from a detailed due diligence basis. So we've got good peripheral vision, we're live in the marketplace, so we'd have a good look across both RIS and Consulting. And I would say when we look at our pipeline, looks pretty good. We over the last three years, have spent about $1 billion in transaction value per year. It's too early to say, it's only through the first six months we've had a pretty active first six months of the year and where we look at our pipeline. And a lot these things take a long time in terms of gestation period. But so when I look at the pipeline now, this year looks pretty good and it even looks pretty good next year. We've I'm sure certain things that we're looking on right now, would take a little bit longer time. Our focus is generally on faster growing businesses and businesses that can improve our capabilities. Wouldn't mind every once in a while seems something right up the alley of our strong suit where we get some synergy and some decent earnings growth out of it through some expense saves, but our overall acquisition strategy is geared towards faster growing businesses.
Adam Klauber - William Blair & Co. LLC: On that P&C side, would you ever go back in the wholesale business?
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Well, I don't know if there is a wholesale business anymore. I mean, clearly there is specialty placement businesses that have done quite well and they're good businesses. If you ask me if I would have preferred that we didn't exit that kind of specialty placement business. Yeah, the answer would be, I would prefer that we would have been still in that business, but when we go back in, it's a different kind of question. I mean I think they've done a very nice job, there is some good companies out there, but we're an awfully big company and we would have wanted to do something in a real minor way on an a structural basis like that. But fundamentally, we look at the wholesale business, so called wholesale business and we think they've done a nice job building out their specialties and their capabilities over a long period of time.
Operator: That concludes today's question-and-answer session. Mr. Glaser, I'd like to turn the conference back to you for any additional or closing remarks.
Daniel S. Glaser - Marsh & McLennan Cos., Inc.: Okay. Thank you very much, Mindy. And I'd like to just thank everybody for joining us on the call this morning, and I'd especially like to thank our clients for their continued support in our colleagues for their hard work and dedication in serving them. Thank you, very much.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.